Operator: Good morning, ladies and gentlemen, and welcome to the Sterling Infrastructure Fourth Quarter and Full Year Webcast and Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question and answer session. If at any time during this call you require immediate assistance, please press star zero for the operator. This call is being recorded on Wednesday, February 26, 2025. I would now like to turn the conference over to Noelle Dilts. Please go ahead.
Noelle Dilts: Thank you. Good morning to everyone joining us, and welcome to Sterling Infrastructure's 2024 fourth quarter earnings conference call and webcast. I am pleased to be here today to discuss our results with Joe Cutillo, Sterling's Chief Executive Officer, and Sharon Villaverde, Sterling's Chief Financial Officer. Joe will open the call with an overview of the company and its performance in the quarter. Sharon will then discuss our financial results and guidance, after which Joe will provide a market and full-year outlook. We will then open the call up for questions. As a reminder, there are accompanying slides on the Investor Relations section of our website. These slides include details on our full-year 2025 financial guidance. Before turning the call over to Joe, I will read the Safe Harbor statement. The discussion today may include forward-looking statements. Actual results could differ materially from the statements made today. Please refer to Sterling's most recent 10-Ks and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligations to update forward-looking statements as a result of new information, future events, or otherwise. Please also note that management may reference EBITDA, adjusted EBITDA, adjusted net income, or adjusted earnings per share on this call, which are all financial measures not recognized under US GAAP. As required by SEC rules and regulations, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our earnings release issued yesterday afternoon. I will now turn the call over to our CEO, Joe Cutillo.
Joe Cutillo: Thanks, Noelle. Good morning, everyone. And thank you for joining Sterling's fourth quarter and full-year 2024 earnings call. 2024 was another great year for Sterling. We achieved 37% adjusted EPS growth and 7% top-line growth, reflecting our continued focus on driving margin expansion and returns. This is the fourth consecutive year we have generated adjusted EPS growth in excess of 35%. Our gross profit margin reached 20.1%, exceeding the target we laid out a few years ago, and we generated nearly $500 million of operating cash flow. Furthermore, our e-infrastructure backlog reached over $1 billion for the first time in our history. The opportunities we are seeing in our infrastructure business are unprecedented. Both the number and size of projects continue to increase, and we are having discussions with customers for projects that would start in 2027 and 2028. Put simply, we are not seeing any signs of slowdown. If anything, activity is accelerating. We are extremely excited about the future and believe we will continue to drive strong earnings growth over the next few years. The Sterling Way, which is our commitment to take care of our people, our environment, our investors, and our communities while we work to build America's infrastructure, remains our guiding principle as we execute our strategy. Now I would like to discuss our results for the full year and fourth quarter of 2024. For the year, we delivered adjusted EPS of $6.10, up 37% from 2023, and above the high end of our previously guided range of $5.85 to $6. Total revenue for the year grew over 7% to $2.1 billion. While revenue was slightly below our guided range, our adjusted EBITDA of $320 million grew 23% and also exceeded the high end of guidance. For the fourth quarter, we delivered adjusted earnings of $1.46 per share, a 13% increase over the prior year. We grew operating income by 12% on revenue growth of 3% as we continue to shift our mix towards higher-margin services. This is also reflected in our gross margin, which exceeded 21% for the quarter. Backlog at the end of 2024 totaled $1.7 billion, up 2% over the prior year and up 8% sequentially on a pro forma basis. Backlog alone does not capture the full scope of opportunity ahead of us. As our work has shifted towards large multi-phase projects in the infrastructure and transportation sectors, we have greater visibility into future phases of work. Our historical award rate for these additional phases is near 100%. In the first quarter, we have been awarded several hundred million dollars worth of e-infrastructure work, which is a combination of firm backlog and future phases. In addition, we won a large project in transportation. Last quarter, we said we could have close to $1 billion of future phase work by midyear. Right now, we are tracking ahead of our expectations and believe we could end the first quarter with three-quarters of a billion dollars of future phase work. Now I would like to discuss our segment results. In e-infrastructure, full-year segment operating income grew 44%, and operating margins reached 22%, nearly a 700 basis point increase. This was driven by our shift towards large mission-critical projects, including data centers, where our superior project management and our ability to finish jobs on or ahead of schedule are extremely valuable to our customers. In the fourth quarter, e-infrastructure revenue increased 8%, and operating profit grew 50%. Operating margins expanded over 680 basis points to reach a very strong 24.1%. The data center market was again the primary driver of infrastructure revenue growth in the quarter, increasing more than 50% over the prior year period. The infrastructure backlog ended 2024 at over $1 billion, a 27% increase from the prior year period. Mission-critical work now represents the vast majority of our infrastructure backlog, including data center work, at over 60%. Moving to transportation solutions, for the full year, revenue grew 24%, and operating profit grew 21%, driven by strong market demand in the Rocky Mountain region and an increase in the number of projects that meet or exceed our margin thresholds. For the quarter, revenue declined slightly compared to the prior year period. Operating profit margins were 5%, reflecting more typical fourth-quarter seasonality. However, margins declined from the fourth quarter of 2023, which benefited from great weather and timing of project closeouts. We ended the quarter with transportation solutions backlog of $622 million, down 20% year over year on a pro forma basis. This was driven by the timing of awards. In the first two weeks of January, we were awarded close to $200 million of new work. If these awards would have hit in December, backlog would have been up 5%. Shifting to building solutions, annual revenue growth was 1%, and operating profit grew 6%. For the fourth quarter, revenue declined 3%, and operating income declined 17%. The operating income decline was entirely attributable to $8 million related to PPG. Revenue from our residential slab business declined 14%, driven primarily by softness in the DFW market. Overall demand for homes has been impacted as potential homebuyers struggle with the affordability challenge. With that, I would like to turn it over to Sharon to give you more details on some of our financial metrics and our year guidance.
Sharon Villaverde: Thanks, Joe, and good morning. I would like to begin by touching on the impact on our financial reporting as a result of the amendment to our RHB operating agreement. In the quarter, we recorded a non-cash gain on the deconsolidation of $67.9 million net of tax. Under GAAP, this contractual change requires that Sterling no longer consolidate RHB's results. Therefore, starting in 2025, 50% of RHB's operating income will be presented on one line in Sterling's consolidated statement of operations. RHB's revenue, which was $236 million in 2024, will no longer be included in our consolidated revenue. Amortization and depreciation on the fair value of RHB's intangibles and property, plant, and equipment is expected to approximate $9 million in 2025. Excluding these non-cash items, there is no impact on operating income or net income. Moving to our backlog metrics, our fourth-quarter backlog totaled $1.69 billion, a 1.9% increase over the year-ago period when excluding RHB backlog. RHB backlog at December 31 was $491 million, a 21% increase from the prior year period. The gross margin of our backlog was 16.7%, a 150 basis point improvement from the same quarter last year. An increase in both the amount of e-infrastructure backlog and its margin drove this improvement. Unsigned awards totaled $137.9 million in the quarter. We closed the quarter with a combined backlog of $1.83 billion, which was in line with prior year levels excluding RHB. Fourth-quarter 2024 book-to-burn ratios were 1.32 times for backlog and 0.99 times for combined backlog. 2024 book-to-burn ratios were 1.002 times. Shifting to our cash flow metrics, cash flow from operating activities for 2024 was a strong $497.1 million compared to $478.6 million in 2023. Cash flow used in investing activities for 2024 included $70.8 million of net CapEx. 2024 cash flow from financing activities was an outflow of $118.6 million, primarily driven by share repurchases of $70.6 million at an average price of $116.85 per share. $129.4 million remains available under the existing repurchase authorization. We ended the year with a very strong liquidity position consisting of $664.2 million of cash and debt of $316.3 million, for a cash net of debt balance of $347.9 million. In addition, our $75 million revolving credit facility remained unused during the period. As we look forward, our preferred use of cash remains accretive acquisitions that complement our service offerings and enhance our competitive position. In addition, we continue to be opportunistic with our share repurchases. Now I would like to discuss our guidance. As we look ahead to 2025, the ongoing strength of our e-infrastructure positions us for another record year at Sterling. In line with our historical seasonal trends, the first quarter remains our lowest revenue period. In conjunction with our 2025 guidance, we are introducing a new methodology for the calculation of non-GAAP adjusted EPS and EBITDA. This new methodology includes adjustments for non-cash equity-based compensation and amortization of intangible assets. In addition, we are expanding our definition of acquisition-related costs to include earn-outs. Our full-year 2025 guidance ranges are as follows: Revenue of $2 billion to $2.15 billion, gross profit margin of 21% to 22%, diluted EPS of $6.75 to $7.25, adjusted EPS of $7.90 to $8.40, EBITDA of $370 million to $395 million, and adjusted EBITDA of $395 million to $420 million. Considering the diversity and strength of our portfolio of businesses, our strong liquidity position, and our comfortable EBITDA leverage, we are well-positioned to take advantage of additional opportunities to generate significant shareholder value in 2025 and beyond. Now I will turn the call back to Joe.
Joe Cutillo: Thanks, Sharon. There has been a lot of conversation out there about infrastructure spending, including data centers and transportation. With the backlog we have today and what we are seeing from our customers, these markets remain as strong or stronger than ever. In e-infrastructure solutions, we anticipate that the current strength in data center demand will continue for the foreseeable future. Our customers are discussing multi-year capital deployment plans and are focused on how to align with the right partners to support these plans. On the manufacturing front, we believe that in 2025, we will see a fairly steady pace of mid to large-size onshoring projects. As we look out to 2026 and 2027, there remains a big pool of mega projects on the horizon. This would include planned semiconductor fabrication facilities. Given the complexity involved in their development, we believe it will take some time before these awards start to flow. The e-commerce and small warehouse markets are continuing to show signs of strengthening. These dynamics support strong growth opportunities over a multi-year period. For 2025, we expect to deliver strong e-infrastructure revenue growth in excess of 10% and operating profit growth north of 25%. In transportation solutions, we are now in the second half of the federal funding cycle. We have built over two years of backlog and continue to see good levels of bid activity. For 2025, we anticipate continued growth in our core Rocky Mountain and Arizona markets. We have made a strategic decision to accelerate the shift away from low-bid work in Texas. This will result in some moderation of transportation solutions' top line and backlog that should drive meaningful margin improvement as we move through the year. These dynamics are expected to drive relatively flat transportation solutions revenue after excluding RHB from 2024. However, we anticipate operating profit growth in the low to mid-teens on an adjusted basis. In building solutions, the business is well-positioned for growth over a multi-year period. Our key geographies of Dallas-Fort Worth, Houston, and Phoenix are expected to see continued population growth driving demand for new homes. Additionally, there is a significant opportunity for share gain in Houston and Phoenix. For 2025, we anticipate building solutions revenue growth to be in the low single digits. This reflects a combination of some recovery in our DFW residential business in the second half of the year and share gains in Houston and Phoenix. We anticipate margin expansion in 2025 as we continue to shift our mix towards higher-margin residential slab and plumbing work and away from lower-margin commercial. We are working hard to find the right acquisition to grow the company and enhance our service offerings. The e-infrastructure market remains our top priority for M&A. Additionally, we are seeing some interesting opportunities in building solutions. We will remain patient and disciplined in our inorganic growth strategy. The midpoint of our 2025 guidance would represent 10% revenue growth on a pro forma basis, 15% adjusted EPS growth, and 18% adjusted EBITDA growth. With that, I would like to turn it over for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. Should you wish to decline from the polling process, please press star followed by two. If you are using a speakerphone, please lift the handset before pressing any keys. One moment for your first question. And your first question comes from Noelle Levitz with William Blair. Please go ahead.
Noelle Levitz: Joe, Sharon, Noelle, good morning, and thanks for taking my questions.
Joe Cutillo: Good morning.
Noelle Levitz: To start off, there has been a lot of new data center developments across the US. For example, Project Stargate, the $500 billion mega data center investment project. A lot of these projects are outside of the typical geographic range for your Plateau and Plateau businesses. You mentioned in the prepared remarks about your plans for M&A. But can you talk about your ability to bid for these projects organically, as well as how it expedites your plans for M&A to increase your presence in these areas?
Joe Cutillo: Sure. I think there are a couple of things. I will tell you that we continue to get more and more to expand further and further with our geographic footprint. Some of the things we have been able to do is leverage some of our assets in the transportation business. So we are now working on several data centers throughout the Rocky Mountains. We are looking hard at the Texas market and up into Ohio. But some of that we can do organically. It is a little bit of a disadvantage when we have to ship crews halfway across the country and put them up for the length of time. It is certainly costlier for us to do that. And in some instances, it is cost-prohibitive. Frankly, there is some range that we get to. However, we are also looking at acquisitions in those markets or for the right acquisitions to do that. The challenge with it is getting somebody with enough size and breadth of capabilities that can perform at the level we can or that we can help them get to that level. We have seen a lot of small businesses, but we just do not have the confidence that they could execute to the levels we are. In addition, I will tell you we are strategically looking at this year and next year should we organically put some locations in other geographies and leverage our existing skill sets, move some of our existing resources to those locations, and build what we call a spoke and hub model in some different areas.
Noelle Levitz: Awesome. That is helpful. And then shifting over to the transportation business, you are forecasting flattish growth this year. And you mentioned that a lot of it is attributable to shifting from the Texas low-bid heavy highway work. Is that it, or are you also seeing an impact in IIJA funding-related activity, whether it be from executive orders, DoE cuts, potential tariffs, or is it just a shift?
Joe Cutillo: Yeah. I think, first of all, so many people are confused with those cuts and tariffs and all that. You step back in the transportation world, you have to keep in mind, 50% of these projects are funded by the state, 50% are funded by the feds. The projects that we have in place and the projects that are being bid are already funded in one way, shape, or form. So we have not seen one dollar of impact related to anything. I would never say there will not be anything, but we are not concerned that anything that they are talking about or working on would have any significant impact on our transportation business. What gets a little confusing is if you remember at the beginning of the IIJA program, there is roughly a 30% increase in spending. Some of that has been eaten up by inflation. But if you follow our kind of growth trends, the first year the IIJA came out, you are bidding work. It is relatively slow. You are getting prepared. The second year, you are feeling the impact of that. Last year, we grew about 24% in transportation, which is the biggest growth we have had in a long, long time. Once that spending hits that level, it does not continue to increase every year in the IIJA. It kind of flattens out at that level. So I would tell you, we saw the ramp-up last year. And now it is kind of relatively flat, growing at 3% to 5%. There is still some growth in it, but it is not those double-digit growths that you see at the beginning of a program. So we are riding that wave, and we feel very good that that is consistent. The delta of that is exactly what you talked about. As we reduce low-bid work in Texas, it offsets some of that 3% to 5% growth that we are seeing in the market. So we think net-net, we are going to be about flat on the revenue line, but still feel very confident on profitability growth and to be able to deliver results that look like a heck of a lot more than flat revenue growth.
Noelle Levitz: Perfect. That is all for me. Thank you.
Operator: Thank you. Your next question comes from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Hey, good morning, guys. Nice quarter and great outlook.
Joe Cutillo: Good morning, Adam. We are excited about it.
Adam Thalhimer: Should be. I wanted to start on e-infrastructure margins. You know, that is a high-margin business. You have done 20% plus margins before. But still, those were record kind of exceptional results in the back half of 2024. This is the question I get most from clients, so I will just throw it back at you. What drives those exceptional margins?
Joe Cutillo: Yeah. It is really mix. You know, a combination of our execution and ability on these larger projects that drive productivity and synergies certainly helps us gain incremental margin. But the fact of the matter is the larger the job, out of the chute, the better the margin. And one of the, you know, it is a yin and a yang, I guess. We have been crying because the e-commerce business had been slow and the small industrial warehousing business had gone away. But the reality is that shifts the vast majority of our work towards these mission-critical projects, and that is our sweet spot. Right? Now the good news on top of it is we are starting to see both e-commerce activity pick back up and we are at the early stages. But as we said before, we think in the second quarter, and I still think in the second quarter, we are going to see a significant pickup in data center activity in that small industrial space. So as we look at it, we are positioned great with the best margin products we can as the vast majority of our backlog. And now we can start augmenting that with some of the fill-in work that we have historically had. And when we look at that, do not think that is going to bring the net margins down just because of the growth rate differential. But it should really help us accelerate some stuff on the revenue side as we go through the year, and it will actually help us leverage assets better in between those big jobs. So that will help maintain those margins or allow us to even, we believe, get even better margins in 2025 than we had in 2024.
Adam Thalhimer: Okay. Makes a lot of sense. And then you just remind us what your current scope is for projects for the typical project in the infrastructure, and whether there is, you know, M&A out there similar to what you did with PPG, if you could expand your current infrastructure scope.
Joe Cutillo: Yeah. So right now, you know, we start with a mountain. And we make it flat with the west utilities in place. Right? So they are ready to put the slab in or ready to, if it is a data center, we have dug all the duct banks. They are ready to run the conduit in the wiring for the duct beds. We are actively and organically starting to move into the dry utility side of that. So the next phase of the data center is once we dig those duct banks, we now have some electrical licenses and stuff that we have done and got to now we could start putting in that conduit and take that next step. From there, what we are really looking for, and we have looked at a lot of businesses, I feel like we are going to find something. We really like the electrical and mechanical that we touch next. That is the next natural phase for us to move into. And we want to find a business that is in data center and preferably in semiconductor space. That helps pull us into the semiconductor area. And helps us pull them into the data center business even more. That would be the perfect deal for us. We have not found it yet. I would tell you we are looking sleeplessly for these, and we are seeing some opportunities out there that I think hopefully will work in 2025.
Adam Thalhimer: Great color. Good luck in Q1.
Joe Cutillo: Thank you.
Operator: Your next question comes from Brent Thielman with D.A. Davidson. Please go ahead.
Brent Thielman: Hey. Thanks. Good morning. Great to finish to the year as well. Joe, maybe just check on back on the infrastructure, I mean, it looks like you are alluding to sort of mid-twenties operating margins on guidance. I was just wondering if you could put a little more context around the range of margins you are seeing on new work coming in between mission-critical and more of the short-cycle business that you will take on and have those margins on mission-critical. I mean, any context on how those have moved over the last couple of years? Have they moved up because you are even more in demand? I think it would just be helpful to understand that in context.
Joe Cutillo: Yeah. We have seen, you know, what I will call base pricing is certainly better on the larger projects, as we said. I would say that is very stable. I do not think it has gone up significantly, certainly has not gone down. But what we have been able to do as these jobs continue to get larger and larger, we are really able to leverage some things internally to pick up those extra few points of margin that you are seeing. And as we get these multi-phase jobs, there are a lot of things that we can do along the way to stage ourselves for those future phases that actually will help us drive even more productivity amongst them. So the good news is we have not seen any backwards motion. If anything, we have probably seen a slight tick up in pricing, but we are really able to leverage this stuff. And candidly, after you do, you know, a hundred or so data centers, you just get a hell of a lot better at it too.
Brent Thielman: Yeah. Makes sense. Thanks, Joe. And then back on maybe on building solutions. And I am sorry I did not catch the outlook for revenue for the year, but it sounds like you are more optimistic around a potential rebound in the second. I guess I just want to understand, one, what is embedded in the outlook for the group in 2025? And then, Joe, if you could just expand on PPG's performance, whether you are sort of yet leveraging some of the customer relationships, I think they have that might be unique on their side to the core business and, you know, just the other things you are doing sort of through this role that can help you take advantage of the market when it bounces back.
Joe Cutillo: Yeah. We think, you know, we think the first quarter or first half, I should say, is going to be relatively slow. We definitely are seeing a weather impact in the first quarter. I mean, Dallas was down fourteen days in January and sixteen or eighteen days, some crazy thing in February. So we are definitely seeing that, which will put a damper on some of it. But we think, you know, based on what the builders are telling us and what they are putting for their full-year projections and how they are starting the year, everything indicates the second half will be stronger than the first half. I do not have exact numbers, but that is the conversations that we are having with them. And I think also, you know, you have got so many dynamics going on. We have a new administration, a lot of activity in DC. I think people thought interest rates would have dropped a little quicker. So there is, you know, there is just some natural dynamics and some noise in there that are probably people a little more concerned than they should be, and we think that sorts out as we go through the year. Where we have opportunities, we love the PPG business had a great year last year. They are off to a good start this year. We have just started leveraging cross-customer customers with them. Part of it is getting them a little more capacity and capabilities to do it. I will tell you we are actively looking, and I believe in 2025 we will put another location probably out in the Fort Worth area, as the Dallas market expands further west. Most people think of Dallas-Fort Worth as one thing. If you are in Dallas and you are trying to get to the west side of Fort Worth, it could take you three hours. So it is really, even though it is on the map or in our brains, it is the same market. It is really a new geography for us. So we are really looking hard at that. We think there is a great opportunity. And when we do that, that is going to be a joint business, which will be the plumbing and the slab business. So we will go at it and attack it that way. In Houston, Houston continues to grow. We have not seen a slowdown in the Houston market. We really like the growth trajectory. And our whole opportunity there is we are working hard on how do we continue to gain share and add capacity down there. We think we will continue to do that through 2025 and 2026. Phoenix, the market is an interesting market where Houston and Dallas are very steady and very consistent. Phoenix is a little more rocky. You know, it will be really strong for a quarter or two, then slow down for a quarter and come back. But what we are looking at there is we are looking hard to add plumbing to the Phoenix market. Because we believe there is a competitive advantage around bundling plumbing and slabs there. Right now, believe it or not, it takes longer in Phoenix to get the plumbing, the rough-in plumbing done, which takes literally a couple of days max to do, than it does to build the rest of the house. So we think if we can add that in and guarantee a delivery time of the plumbing and slab, we will rapidly pick up market share in the Phoenix market in 2025. So we are not down. I think also the long-range look, if you just look at the population growth and the bubble of housing needs in all of those markets, it is pretty strong. The Scottsdale market is seeing a lot of influx from California right now after the fires and the tragedies that took place out there. So we think it is only going to get better as the year goes on.
Brent Thielman: That is great. Joe, if I could just ask one more back on the infrastructure. And a lot going on with obviously a new administration seems like day to day is something new, and obviously, the CHIPS Act is out there. Maybe some questions where that goes. I guess the question I have is how dependent is, I guess, your optimism looking beyond 2025 and the 2026-2027 on some of these semiconductor facilities, you know, things that might be associated with the CHIPS Act versus the other things you do.
Joe Cutillo: Yeah. I mean, certainly, these big projects are going slower than, not slower than we anticipated, but I think slower than a lot of people anticipated. We have always said 2026, 2027 was where anything is going to take place. I think, you know, reading through the tea leaves and everything, I think there is going to be more pressure to bring technology back to the US, and I think that is in chips, and I think it is going to be in some other things. So if we take a look at it, Brent, where I feel really good is I know what we have for 2025. With this billion dollars of backlog and three-quarters of a billion dollars of future phase work, I know where we are in 2026. Right now. We are working on 2027 and 2028. And what we are seeing is a litany of projects that are on the books, not only for data centers, we see strong growth through there, but we think there is going to be onshoring of manufacturing of some sort. Now I cannot tell you exactly what it is. We have seen some pharma stuff. We have seen some basic manufacturing. I do not think it is going to be solar. I do not think it is going to be wind. But the beauty of our business is we do not care. It does not matter if it is a chip plant or a data center or a pharma manufacturing plant, or Nissan is talking about bringing stuff from Mexico, Mercedes is talking about bringing stuff into the US. None of those matter to us. It is really do they fall on the footprint. And being in the southeast and the east coast, if anything comes back in auto, that is generally where it has been going. Some of the pharma stuff we are seeing is in that kind of mid-Atlantic region that is taking place. So we feel very good that we have great visibility and great tailwinds in data centers. If chips come, that is a huge pickup for us. If they do not come, we think we have got other opportunities that will fill that gap. But I am not down on chips at all. I still think they are coming. I just think people, Brent, you have been around this long enough. The complexity of a $100 billion project that starts flat-footed is, there is a lot more upfront work on this stuff than people realize before you start breaking ground and building anything.
Brent Thielman: Very good. Thanks all. Appreciate you taking the questions.
Operator: Thank you. Your next question comes from Julio Romero with Sidoti and Company. Please go ahead.
Julio Romero: Thanks. Hey. Good morning, Joe, Sharon, and Noelle. Good morning. Hey. So, you know, I did not hear much negative on the data center side either from your prepared remarks or from the previous questions and your answers. So my first question is just more of a kind of a sanity check that you are not really seeing a change in tone from either the hyperscalers or the developers doing DC work. And then, you know, hand in hand with that, are you seeing any change in terms of the willingness of the GCs or developers to kind of accept the contractual terms Sterling typically insists on that are kind of...
Joe Cutillo: Yeah. Well, I will say we are seeing a change in tune, but it is the opposite of what the messaging out in the world is. The change of tune is they are more aggressive and more hungry to grow faster every time we talk to them. And I think people are confusing some of the, you know, I will call it facts in turning it into fiction. You know, Microsoft is a perfect example, but a lot of these guys are doing the same thing. They are trying to grow this so fast that even Microsoft, Google, Amazon, these guys have limited capital. They cannot spend it all in one year. So they are coming up with more creative ways, whether those are lease buyback models, or people building shells that they can get into. And people are confusing that with them cutting back on capital budget. Well, they are really not cutting back on their total spend or their total build-out. They are just doing it in more financially beneficial ways to leverage their capital better. For us, it does not matter if it is a speculative data center or it is Google's data center or it is Amazon's data center. A data center to us is a data center. Dirt is dirt, rock is rock, mountains are mountains. So we are seeing it not only from our core customers, we are getting inundated from all these players, and some of them are very new to the market that we have not even really talked to in the past. Saying what capacity you have, how much can you do, can we buy capacity for 2026, 2027, 2028? You know, I wake up every morning, I read the paper, I think I am on a different planet because I talk to our guys, I hear what our customers are saying, I hear what the news is saying, and it is the polar opposites right now. So we are really excited about it. No issues contractually. We have not seen any changes in contractual language or how we go about the projects. It is all very steady. I think if anything, we see kind of a different opportunity out there where with all of these new data centers coming on, some of the smaller players are trying to get into the space. They are failing miserably. And it is only creating more opportunities for us in the future. So our model is working great. It is all about delivery and speed. And I know everybody thinks it is more complicated than that. It is about delivery and speed. And it is interesting watching the dynamics take place, but we are the number one guy in that area.
Julio Romero: Really helpful context there. You know, and then thinking about the longer-term potential for e-infrastructure margins, your guidance for the segment in 2025 implies pretty significant operating margin expansion, about 25% by my math. But you sound more excited about 2026, 2027 than you do about 2025, particularly around the advanced manufacturing side. So I guess if you could help us contextualize, how much higher can the operating margins go for e-infrastructure over the next, call it, half-decade or so?
Joe Cutillo: Well, I think it will continue to go around project size and project dates. You know, again, if the projects continue to get larger, there are drawings of or projects on the drawing board, I should say, of mega data centers that are exponentially bigger than anything we are building today. I still find them almost impossible to believe, but they continue to move forward. Those would be greater opportunities and better margin. We do not see margins slowing down in 2025, and I think we will continue to see margins uptick in 2026 in e-infrastructure, just based on what we are seeing. We are really bullish on 2025. When I talk about 2026 and 2027, normally, we are not talking about are we almost full or are we getting close in 2026 and 2027 projects already talking about them. Right? We just, we are so much further ahead of the curve than we historically have. When we bought Plateau, let me just give you kind of a benchmark. We were always happy if we had six months of backlog. That was our metric that we were very comfortable if we had six months. I will tell you, we have a hell of a lot more than six months of backlog sitting in Plateau and Patillo right now.
Julio Romero: Very helpful. And then last one for me would just be on the transportation solution side. Any way we could put a finer point on how to think about the sales dollar headwind that the move away from low-bid heavy highway kind of puts for the transportation segment in 2025?
Joe Cutillo: You know, we do annually in the Texas market is, call it, $75 million a year. So as we shrink that, you can kind of put some boundaries on that. Yeah. So we have baked in all of our guidance. We have baked that in.
Julio Romero: Great. Really helpful. Thanks again.
Operator: Your next question comes from Tom Bishop with BI Research. Please go ahead.
Tom Bishop: Hi. Good morning. I know it is interesting that the stock was at $198 the day before the DeepSeq hit the fan. And what I am hearing is that this is that the decline is, you know, I do not know if investors were thinking that the footprints are going to get smaller because somehow DeepSeq has a smaller footprint or that fewer data centers are going to get built. But it seems like none of that is true. And if anything, it is intensifying. So it seems like that whole sell-off was ill-founded. Would you agree with that?
Joe Cutillo: Yeah. I mean, we were as shocked as anybody in the sense that it does not matter. Let me kind of keep it really simple. It does not matter if they use the high-end NVIDIA chip or the low-end NVIDIA chip. Because there is a data center. We build the data center. Right? So we do not do the chips. We do not do any of that stuff. It does not matter to us. We had just had meetings, you know, two days before that or three days, whenever it came out, with core customers saying, here is our build schedules. Here is what we are looking at in 2027, 2028. What do we do to get capacity for 2027, 2028? And all that comes out and everybody thinks everything is stopping. So we are seeing the opposite. I am not smart enough, Tom, to understand all the elements of DeepSeq. But here is what I do understand. Do we really believe that US companies and the US government are going to allow AI to go through China to manage what we are doing? I do not believe that is going to happen. Okay? Do we even believe that we are going to use Europe and other countries with the cable have been cut and all this stuff that has happened recently? Maybe more likely, but still less likely. The development is going to be in the US. The technology is going to be developed in the US. I think if anything, it will ultimately, in a crazy way, drive the US companies to run faster and harder to make sure that they do not get bypassed by anybody else. That is my personal opinion with two brain cells in my head. But that is how I look at it. And our customers, again, kind of support that because they are not backing down.
Tom Bishop: I agree with you. Okay. Well, I am just glad to get that clarified.
Joe Cutillo: Yep. Thank you.
Operator: There are no further questions at this time. I would like to turn the call over to CEO, Joe Cutillo, for closing remarks.
Joe Cutillo: Thank you, Marissa. I want to thank everybody again for joining today's call. If you have any follow-up questions, you can reach out to Noelle Dilts. Her contact information is in the press release. I hope everybody has a great day.
Operator: Ladies and gentlemen, this concludes today's conference call and webcast. Thank you for your participation. You may now disconnect.